Operator: Good evening. Thank you for attending today’s Offerpad Fourth Quarter and Full Year 2021 Earnings Conference Call. My name is Bethany, and I will be your moderator for today’s call. All lines will be muted during the presentation portion of the call. [Operator Instructions] I would now like to pass the conference over to our host, Stefanie Layton, Senior Director of Investor Relations at Offerpad. Stefanie, please go ahead.
Stefanie Layton: Thank you, and good afternoon, everyone. Welcome to Offerpad Solutions’ fourth quarter and full year 2021 earnings call. Our Chairman and Chief Executive Officer, Brian Bair; and Chief Financial Officer, Mike Burnett, are here with me today. During the call today, management will make forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently uncertain, and events could differ significantly from management’s expectations. Please refer to the risks, uncertainties and other factors relating to the company’s business described in our filings with the U.S. Securities and Exchange Commission. Except as required by applicable law, Offerpad does not intend to update or alter forward-looking statements, whether as a result of new information, future events or otherwise. On today’s call, management will refer to certain non-GAAP financial measures, including contribution profit and margin, contribution profit and margin after interest, adjusted net income as well as adjusted EBITDA. These metrics exclude certain items discussed in our earnings release under the heading, Non-GAAP Financial Measures. The reconciliations of Offerpad’s non-GAAP measures to the comparable GAAP measures are available in the financial tables of the fourth quarter and full year 2021 earnings release on Offerpad’s website. I’ll now turn the call over to Brian.
Brian Bair: Thank you, Stefanie. It’s great speaking with you all today. 2021 was our most successful year yet. I’m excited to provide details about our growth and accomplishments last year. I will also share more about our focus in 2022 and speak to some of the market dynamics we are seeing in the industry. Mike will cover our fourth quarter and full year 2021 financial results and first quarter 2022 expectations. In 2021, we delivered on our financial and operational goals and exceeded expectations. We nearly doubled our reach by expanding services to include a total of approximately 1,500 cities and towns, and we introduced Offerpad to customers across the Midwest. Our operations team led the way, acquiring 156% more homes in 2021 compared to the prior year. And our renovations team set a new record completing over 8,000 improvement projects, a 137% increase over 2020. Since Offerpad was founded, we have completed home renovations totaling nearly $300 million. This means new homeowners benefit from things like upgraded finishes, energy-efficient appliances and other improvements that extend the life of the home. Neighborhoods benefit from repairs and upgrades in their community. We are doing more than just buying and selling homes. We are revitalizing homes, increasing their longevity and creating welcoming environments for homeowners. The key to our continued success over the past year was growing in a responsible manner while maintaining high-quality, customizable and valuable service offerings for our customers. In 2021, we earned an outstanding customer satisfaction rating of 93%. Offerpad has seen market demand increase as more customers seek the convenience, certainty and control our offerings provide. We repeatedly hear from customers how our services and team members have improved their homeownership experience. With so many aspects of our daily life simplified from purchasing everyday products on our phone to groceries arriving at our front door, there is no question consumers want a more convenient homeownership experience. The increase in overall iBuying penetration is clear evidence. Transactional data show that in the third quarter of 2021, iBuying market share reached 1.9% of all U.S. home sales, nearly doubling the previous high of 1% set in the second quarter of 2021. In three markets, Greensboro, Phoenix and Tucson, iBuying reached 10% market share, highlighting the potential growth of this industry. As a lean iBuyer in the country, Offerpad is successfully well-positioned to capitalize on this potential. While our strategy and discipline are key elements to our success. I can’t underestimate the importance of our incredible team. Despite the tight labor market in 2021, our culture and commitment to our people allowed us to double our team from 499 employees to more than 1,000 by year-end. Being part of the transformation that provides tangible value to customers and allows team members to implement innovative ideas is a rewarding experience and quality we celebrate. Our ability to attract and retain top talent will be important strength through 2022 as we expect the labor market will remain tight. In 2022, we plan to continue executing on our three-pronged growth strategy focused on market expansion, increased market penetration and additional ancillary services. In terms of market expansion, we plan to add eight new markets this year for a total of 29 markets by year-end. As previously announced, we are entering three new markets in California this year, with San Bernardino and Riverside opening this month. Sacramento was on target to open later in the first quarter of 2022. In our existing markets, we plan to increase penetration by serving new ZIP codes in and around our existing service areas and to incorporate higher price point homes into our buy box. For example, in the fourth quarter of 2021, we added 66 ZIP codes to our service area in and around Nashville, resulting in a 48% increase to our Nashville service territory. Similar expansion plans are slated for 2022 in other existing markets. We’re also expanding our Platinum home offering. This program allows higher price point purchases with controls around the number of purchases during each market’s initial launch. Homes in this program will require additional review and approval during the underwriting process and receive upgraded renovations. Our ability to expand our buy box into higher price point homes with the potential for extensive remodeling is possible because of our highly skilled and efficient renovation teams. Expansion of our service territory and buy box in existing markets are both examples of our market evolution from new to mature. When we enter a new market, we start by hiring our local leadership team and establishing relationships with local vendors. As we build, we add our internal renovation department, and we gradually expand our geographic scope. As a company, we embrace learning and believe that we are smarter with every customer we serve. The first three to four months in the market are truly about establishing a presence and building a foundation, with the next nine months focused on optimizing our execution. After the first year, we transitioned from learning and building to pushing for increased scale and profitability. We then use our fully mature markets with an established presence to test new products and services. Our third growth driver in the expansion of our ancillary service offerings include the launch of Offerpad home loans into all markets and new partnerships. In January, we announced an expansion of our partnership with Taylor Morrison to all of our mutual markets nationwide. This partnership offers buyers of a new Taylor Morrison home additional flexibility with their closing date and extended stay options past closing with selling their existing home to Offerpad. We greatly value our relationship with the more than 50 homebuilders we currently partner with to improve the experience for our mutual customers. Part of our 2022 goals is to enhance our buyer engagement. We frequently talk about our Express and Flex offerings in simplifying the sell side of the transaction, but we also serve customers looking to buy a home. Often, customer starts their real estate journey by looking for a new home. They would like to buy before beginning the process of selling their current home. By enhancing our ability to meet customers at the beginning of their journey, we can offer better support with multiple products including Offerpad home loans and truly provide a one-stop shop experience. In 2022, we will introduce our enhanced instant access program, making it easier for potential homeowners to directly access Offerpad properties. With thousands of homes available, our properties provide another venue to engage with our new customers. In addition to our current Flex team members, we are hiring buyer experts to provide specialized support to customers. We currently pay a co-broker commission on approximately 86% of the Offerpad homes we sell. By enhancing customers’ ability to reach us directly with buying a home, we can reduce our costs, expand our margins and provide customers more opportunities to save through our Bundle Rewards program. Turning to the broader real estate industry. We expect the market to remains strong in 2022. With the current supply and demand imbalance expected to remain, buyers will likely continue to experience an ongoing sellers market. Our expectations in 2022 assume that many of the fundamentals driving the 2021 market will remain. This includes tighter supply levels, increasing at historically low mortgage rates and wage growth acceleration. Importantly, our growth and expectations for achieving sustainable profitability are a result of multi-dimensional strategy that’s not reliant on any singular market condition. While wage growth acceleration and low unemployment are positive tailwinds, the unprecedented home price appreciation in 2021 further restricted first-time homebuyers’ ability to access affordable housing. At Offerpad, we believe in doing the right thing for our people, our customers, our shareholders and our communities. This means using our tools and talents to push for change to create opportunities for more and more people. Through our membership on the Freddie Mac Affordable Housing Advisory Council and with the National Fair Housing Alliance, our goal is to promote access to affordable housing and to ensure equal housing opportunity for all people. As you can see, we have innovative plans for our future and the foundation and team well positioned to meet our goals. We succeeded through the historic uncertainty and economic shutdown of 2020, then we navigated one of the most aggressive growth markets in 2021. These achievements give me confidence that our agility and flexibility of our strategy will allow us to successfully navigate future market changes. I’ll now turn the call over to Mike.
Mike Burnett: Thanks, Brian. Today, I will cover our fourth quarter and full year 2021 financial and operating results, discuss our recent financing activities, and also provide our outlook for the first quarter of 2022. We ended the year with a strong fourth quarter, continuing the trend we established at the beginning of 2021. Our fourth quarter revenue set a new record at $868 million, a 289% increase over the fourth quarter of 2020. Q4 gross profit increased 178% from the prior year and we reported positive adjusted EBITDA for the fifth consecutive quarter. Our net income this quarter was $12.8 million and includes a $15.6 million credit to mark-to-market the value of the warrant liability. Excluding this credit, our Q4 adjusted net loss was $2.8 million. In the fourth quarter, we acquired 3,049 homes, nearly a threefold increase from Q4 of 2020 and an 11% sequential increase from Q3. This growth pattern demonstrates our ability to quickly and smartly rebuild our inventory levels from the pandemic lows and to methodically manage that strong growth in a consistent serviceable manner, avoiding dramatic upward swings and pullbacks in acquisition activity. Our home sales in the fourth quarter of 2,423 units nearly tripled our Q4 2020 sales and increased 45% sequentially from Q3 with an average selling price of $357,000 per home. We generated $70 million of gross profit in the quarter, a 32% sequential increase from Q3 at a gross margin of 8.1% compared to 9.8% in the prior quarter. This is consistent with our expectation of margins normalizing from the prior high levels of home price appreciation. Our growth plans not only show the operational benefits of adding scale, but also our ability to leverage overhead. In the fourth quarter, total operating costs were 7.7% of revenue, a 340 basis point improvement from Q4 of the prior year and a nearly 150 basis point sequential improvement from Q3. We will continue to demonstrate strong cost discipline in 2022 while making prudent investments to continue to support our growth initiatives. Turning to our full year financial results. 2021 was a landmark year for Offerpad as we exceeded the high end of our guidance ranges. We sold a record 6,373 homes, resulting in revenue of more than $2 billion. This represents a 95% increase compared to the full year 2020. Gross profit for the year was $208 million, a 137% increase over the prior year and GAAP net income was $6.5 million, marking our first full year of positive net income. Adjusted EBITDA for the year was $30 million as compared to a negative $8 million in 2020, reinforcing our exceptional financial performance for the year. Our strong full year results were also supported by our unit economics. Contribution profit after interest per home sold increased 154% year-over-year to $22,900. This represents a 7% contribution margin after interest for the full year, up from 3.6% in 2020. Over the past three years, our gross margin improved from 6.9% in 2019 to 8.2% in 2020 and reached 10% in 2021. This high level and consistently improving performance and some of the most volatile and unprecedented market movements and demonstrates our ability to skillfully adapt and navigate through all types of economic and business conditions. In early 2020, the real estate market didn’t experience a gradual downturn. It came to a complete stop. This full halt was then followed by some of the most pronounced price appreciation in recent history. Our track record demonstrates our ability to navigate changing conditions quickly and successfully. We regularly review our strategy for points of optimization with a specific focus on flexibility and speed with which to integrate information from our markets into our automated valuation model. Recently, the Federal Reserve has signaled the intent to increase interest rates in 2022. The housing market entered this year with double-digit home price appreciation, strong underlying demand and near-record low supply. A modest increase in mortgage rates as a result of tighter monetary policy from their current historic lows would likely present a more moderated yet still robust and appreciating housing market. As with other dynamic data points that we incorporate into our underwriting process, we can adapt our model to proactively reflect higher interest rates. We expect expenses to fluctuate in the real estate market to be continually dynamic. Our people have decades of experience navigating changing real estate market conditions, including the downturn in 2008. The data analytics and knowledge gained from this experience helped us to achieve our status as one of the top operating teams in our industry and is one reason why we are confident in our ability to continue our success into the future. It is also important to remember that when the market cools and becomes less of a seller’s market, the buyer becomes more empowered. This enhances our ability to underwrite homes more conservatively on the acquisition side to allow for longer hold times while not sacrificing returns. As Brian mentioned, we are also focusing on enhancing our buyer engagement through our FLEX services offering in 2022. By engaging customers at the beginning of their real estate journey, we expect to increase our ancillary service attachment rates and to further support our gross margin results. On our third quarter earnings call, we shared that despite the global supply chain and labor challenges, we maintained an average time from home acquisition to sale below our 100-day target. We continued this achievement again in the fourth quarter of 2021. While we did experience a slight increase in renovation time in Q4, the delays are largely related to COVID impacts. Importantly, we are not experiencing significant challenges maintaining or attracting labor to support our growth. As Brian mentioned, we doubled the size of our team last year, highlighting the tangible benefits of our culture. Turning to our financing activities. We completed a fourth senior secured credit facility in December, adding $500 million of new debt capacity. We also secured an additional $113 million mezzanine secured credit facility. These debt facilities expand our total borrowing capacity to $1.7 billion, lower our overall borrowing costs, further expand and diversify our lender relationships, mitigate reliance on related party funding and increase our debt capital efficiency. In addition to the increase in our borrowing capacity, our cash balance as of December 31 was $170 million, providing ample liquidity to continue to execute our growth plans this year. As we begin 2022, we expect the health of the overall housing market to remain strong and the execution of our growth strategy to continue fueling our financial results. Specifically, in the first quarter of 2022, we expect to sell between 3,000 and 3,150 homes, resulting in revenue of $1.1 billion to $1.15 billion. We also expect adjusted EBITDA between $20 million and $26 million. We will continue to target a more normalized contribution margin after interest of 3% to 6% over the near-term and 6% to 9% long-term. When looking at our historical track record, our bottom line results have improved while meeting our growth targets. As you can see, we expect a continuation of this trend going forward. In conclusion, the last two years have provided tangible data points to prove how we have successfully navigated an unprecedented variety of business conditions. The unique and necessary combination of leading technology and data analytics matched with our unrivaled residential real estate industry experience has enabled us to be nimble during this rapidly changing time frame. Over this period of time, we have successfully grown our top line revenue, but scaled responsibly as evidenced by our unit economics and overall profitability. We will maintain this diligent approach of robust but responsible growth as we navigate the next set of economic conditions. I’ll now turn the call over to the operator to begin the question-and-answer session.
Operator: Thank you. [Operator Instructions] The first question comes from the line of Dae Lee with JPMorgan. Please go ahead.
Dae Lee: Good afternoon. Thanks for taking the question. First one for Brian. I’m just curious to hear your thoughts on the low inventory levels that we’re seeing in real estate right now, and if you’re seeing anything or expecting any impact to your ability to acquire homes. And then secondly, for Mike, revenue per home continues to lot higher, and you won’t to guiding by further growth. So curious to hear how you – we should think about that line as we move through 2022?
Brian Bair: Sure. I’ll jump in first. Thanks, Dae. Yes. The inventory is still very, very low. It’s still definitely heavily on the seller side of it, market-wise. One of the things I have been – might even mentioned this last call, very excited about as the traditional way of selling your home is easier than it’s really ever been. Just as far as the risk tolerance as well, you’re not going to have the marketing time you normally have, days on market. And still, we’re seeing more and more people coming to Offerpad every month. I think the consumer is getting smarter as well of understanding it’s not just putting the house under contract, but it’s also closing the home as well during the mortgage process and insurance process, a bunch of other processes the home can fall out. So I think our model has been great for that to benefit the consumer on that end. But yes, inventory is still very low. It picked up a little bit at the end of last year, but we’re seeing definitely supply issues out there again.
Mike Burnett: And then Dae, on your second question on the average revenue per home. Yes, we have increased significantly over the past year. Q4, our average selling price was about $262,000, that’s risen to $357,000. And really, it’s a direct reflection of the home price appreciation that we’ve been talking about over the past 12 months. I do see that leveling out. I would not expect that to continue to rise certainly at that pace. I think there will be some of depreciation, but I think we’re going to start seeing that more normalized a little bit. The other thing that will impact that is as we’re entering new markets, we tend to play around the average, the median home sales price in each particular market. So there’ll be a little bit of fluctuation there as we go into California, but we also will be gaining volume from our recent entry into the Midwest and then have a little bit of a lower average price point there. So I don’t think that’s going to be a big needle mover, but it will be another impact point.
Dae Lee: Got it. Thank you.
Operator: Thank you, Mr. Lee. The next question comes from the line of Andrew Boone with JMP Securities. Please go ahead.
Andrew Boone: Hi, guys. Thanks for taking the questions. I’d like to begin with expanding the buy box. Can you just talk about the implications as you address more of home purchases within a market? And then secondly, as I think about that same kind of point, how do more markets get Greensboro and Phoenix up 10%? And where are you in terms of being able to drive more awareness of Offerpad overall? Like, where do you think brand awareness is today?
Brian Bair: I think brand awareness is definitely by market specific. Our brand awareness is pretty strong in our more legacy markets that we’ve been in for a while, Phoenix and Charlotte, Atlanta. Some of those brand awareness in some of our newer markets is not what it needs to be. So there’s still work to do on that as we educate the consumer on that end. But I would think in more seasoned markets, we have pretty strong brand awareness. I’m sorry, what was the first question, Andrew?
Andrew Boone: First, just as we think about expanding the buy box and covering more of an area. As I think through the implications of that, does that imply kind of higher conversion, that you guys can target more customers? What does that mean as you guys go up in the buy box in terms of renovations? Like just help us think through kind of the knock-on effects of the buy box extended.
Brian Bair: Yes. Great question. And that’s exactly what it is. As we expand our buy box, as our logistics operations get stronger and our ground game gets stronger in the markets that we’re in, we’re able to expand those into buy higher-priced homes. And one, there’s not as much competition in those price points. And two, it plays very well into us because – for our model because normally, as you expand buy box or price points, renovations is also higher as well. And so that plays very well into our hands as well. So as we do that, we want to get – there’s – the market penetration. And to do that, you can do that obviously through price point and then the type of product that you buy. And so as we expand buy box, we’re going to attack both those.
Andrew Boone: And if I can sneak one more in. Can you just talk about the impact of Zillow exiting the market, like, what’s the competitive set look like? And what have been the implications as they exit? Thank you so much.
Brian Bair: Yes. No problem. And still little too early to tell from a – it was a big impact to the iBuying world and the market and different things. The consumer wasn’t – we just – it’s hard to gauge how impactful it was to them at this point. What we – what I can speak to is we are seeing more and more people come to us every day, every week, every month. And I’m sure there’s some impact of Zillow exiting the market in there. But overall, we’re obviously pushing brand awareness as well in there, too. So a little early to tell. I’ll probably have more information on that next quarter of what we’re seeing out there, but it’s definitely impactful.
Andrew Boone: Thank you.
Operator: Thank you, Mr. Boone. The next question comes from the line of Ryan Tomasello with KBW. Please go ahead.
Ryan Tomasello: Good evening, everyone. Thanks for taking the questions and congrats on the strong finish to the year. Realizing, you haven’t provided a full year outlook, but maybe you can provide some commentary to put some guideposts around the trajectory of home sales margins on a gross and EBITDA basis through the year? I guess, looking at the first quarter guidance, nice to see the expectation of continued profitability but curious how we should be thinking about that level of profitability continuing through 2022. Or if you expect benefits from current inventory dynamics in HBA to – weighing through the year and result in more normalized profitability beyond the first quarter?
Mike Burnett: Yes. Ryan, you’re right. I’m not giving full year guidance. What I can tell you is from our first quarter, we are seeing continued solid and supportive conditions that we’re operating under and have a positive view beginning of the year for this year. How long that maintains, it’s really hard to tell. I mean – so we still think there’s going to be a continuation of a lack of supply, good demand. Nobody is expecting the level of home price appreciation to continue in 2022 that we saw last year. But either way, I mean, we’ve got a model that’s built to operate in both of those conditions, more normalized, which we do think is going to occur. We think there will be a normalization over the next 12 months certainly. What’s been difficult to predict is the glide path as it comes down there. So it’s definitely one that we’re excited about 2022. We like our positioning, where we’re at, and we’re obviously off to a really good start.
Brian Bair: Yes. The one thing I would like to add in there, there’s a lot of talk about home price appreciation, especially what we saw last year. I mean, it’s definitely a big factor, and you’re seeing home prices. But I also feel like I don’t want to overplay home price appreciation as well. Remember, we own these homes for 90 to 100 days. I mean there’s only so much home price appreciation. What really we’re talking about the segmentation and the risk of the home, that goes into how we’re underwriting the home and the type of assumptions that we have to make. For example, in a seller’s market, when we own the home, we can underwrite less assumptions of closing costs to the buyer, co-broke fees. There’s different things that you can underwrite in there. So it’s not just based upon home price appreciation. We expect the home to be priced – to sell more than it is that we own it today. It’s all the assumptions that we do in underwriting to our people on the ground and tied with our data analytics, just something up going there as well.
Ryan Tomasello: Great. And then as a follow-up, as you continue to build out the capabilities of the solution center, can you discuss how you’re prioritizing, say, adding new products versus expanding adoption and attachment rates on existing products? In your prepared remarks, you commented on becoming more relevant with buyers. Maybe if you can just elaborate on really the strategy for really drawing in more traffic into the platform and maybe, I guess, versus peers that have other products catered to buyers like a cash offers product to power buyers, if that’s something that you could potentially look at to bolster the product set? Thanks.
Brian Bair: Yes. And we’re exploring everything right now. But to that point, there are some solutions that we’re definitely emphasizing over others. One is definitely mortgage with the launch of OPHL and then the buy side. What we know is there’s about a 70% likelihood when someone sells their home to Offerpad that they’re going to buy another home. And when they buy the other home and use other services of our vessel, what we call, that’s our bundled services. So there is a major opportunity there to, one, it’s a great win for Offerpad as we can – and – but two, it’s also a major win for the consumer because they don’t have the friction of what you normally see in the transaction because we can close the time they buy their next house. There’s only one closing the mortgage. And we can really wind everything up to make it really, really seamless for the consumer. And so mortgage and the buy side. The other thing that important to note is we have thousands of homes that we own that are on the market that we can use as simple centers as we drive a lot of traffic as we talk about, and I mentioned the instant access opportunity we have there. Just like homebuilders have been doing for years, but their model home centers are driving traffic. But we’re in a very unique position to have thousands of homes that hit the market that we can drive traffic through and basically have a 24/7 open house. People go in there and offer us directly and do different things. So there’s a lot of different things that we’re attacking. But mortgage and buyer representation are going to be the two highlights you’re going to see us on that end. And then obviously, the Flex side of where if somebody doesn’t – for whatever reason, doesn’t accept our cash offer, they can choose to partner with us on the listing end of it. And we can help them market their home on the open market, just like Offerpad owns it, but we just partner with them. And then they’ll use other services there as well.
Ryan Tomasello: Great. Thanks for taking the questions.
Operator: Thank you, Mr. Tomasello. Our next question comes from the line of David Lustberg with Jefferies. Please go ahead.
David Lustberg: Hi guys, this is David Lustberg on for John Colantuoni. Can you hear me?
Brian Bair: Yes. Hi, David.
David Lustberg: Great. Thanks, guys. Thanks for taking the questions. I know you said in the prepared remarks that you expect the market to remain strong in 2022. Could you provide any additional color on your expectations for the housing market over the next few years with mortgage rates on the rise? Are there any adjustments that you think you might need to make to navigate a changing market?
Brian Bair: Yes. And so we watch and how we say since we started Offerpad and that the market is always doing something. And real estate market is always cycling and there’s always something going on in the real estate market. So we watch that closely every minute of every day of what the market conditions are doing. As we look forward, and there’s a lot of talk about mortgage interest rates increasing. And that’s definitely going to be impactful to an extent. I don’t think there’s as much. That’s one big issue. But the lack of supply out there, we have way too many buyers not in the homes on the market right now. That’s going to play more of a factor than rising interest rates because even the interest rates, with the acceleration of the job market and pain and those things, interest rates are going to factor into that. But remember, even if they go jump up, they’re still at all-time low. I mean they’re still very, very low from what they’ve been. But I think it’s more impactful of just a supply and demand issue with the inventory of homes out there. I think it’s going to affect – and I don’t see that changing any time rapidly, anytime quickly. I think that, that will take a while to normalize.
David Lustberg: Got it. That’s helpful. And then a quick follow-up if I can. Is there any color you could provide to how much Flex contributed to revenue and gross profit in the fourth quarter? Thanks.
Mike Burnett: Yes. We’re still at a point where that represents about less than 1% of our revenue, and that’s where we’re getting good sequential growth quarter-by-quarter, so there is gaining momentum there. We’re growing our core business, too, obviously, with the growth of Express and the iBuying side of things. So not to imply that we’re not seeing good growth there, but it – coming through the end of the year, not yet a big component of it but big focus for 2022, good momentum sequentially and a big focus both, as Brian said, on the buying side of the transaction through Flex and continuation on the sell side.
David Lustberg: Awesome. Thanks, guys. Appreciate it.
Brian Bair: Thank you.
Operator: Thank you, Mr. Lustberg. Our last question comes from the line of Ben Sherlund with Cantor Fitzgerald. Please go ahead.
Ben Sherlund: Hey guys, thanks for taking my questions. Maybe a follow-up on Flex. Could you kind of talk through what investments on your side or what kind of market dynamics are really going to help to increase the mix shift of Flex as a percentage of revenue?
Brian Bair: Yes. I’ll talk high level on that end of it, and if Mike wants to add something in. What’s important to understand about Flex is the key to Flex is being able to be able to operate our Express, the iBuying model very well. That’s what opens up the opportunity. Fundamentally, what we see, and I believe this is that the best thing for the consumer because they can have complete control and of the transaction is a cash offer that they can choose their closing date doesn’t go through that. But if they want to choose and explore other options, you’ll be allow them to do that. But being able to perform on the iBuying side of it and to buy and renovate and have a home in 100 days, what that allows us to do is attach other products on that, like we talked about with mortgage and title and some of the other things that we’ve talked about. And so – but that’s the game point from a high level. And – but it all really starts with being able to submit a strong catch offer to a homeowner because they don’t – the traditional way is really tough. There’s a lot of friction for them. And so they’re looking for a one-stop solution. And somebody you talked about earlier about brand awareness and things that’s one of our focuses for 2022. I think we’ve done a pretty darn good job over the last four or five years of telling the world what an iBuyer is and kind of real estate as a service. The next thing that we need to do is educate the world about what a solution center is and the other products that we have to offer because we know the consumers highly engaged there. We just have some work and some education to go tell the world more about it as we get market by market.
Mike Burnett: Yes. And the only thing I’d add to that is – it is about being able to offer whatever the customer, whatever that best fit is over time. And then for us as an organization, too, it’s very complementary to the iBuying side of things, too. And it’s a higher-margin capital-light business that fits into the existing business very well. And so we think the tandem approach there, along with other ancillary products is really a good path to success.
Ben Sherlund: Okay. Great. That’s helpful. And then maybe a follow-up on the mortgage solutions, you guys have previously talked about moving that – at least part of that in-house in more of a captive solution. If you could just kind of talk about how that might change the unit economics of the initiative and kind of what is required to get there? Do you have to reach a certain scale or any color there would be helpful?
Mike Burnett: Yes. So we are in process of bringing that into more of a non-delegated lender format. And what that will allow us to do is to capture better economics on that. We’re in the process of getting all of our licensing across all of our states. We’re about halfway through that right now and expect to be complete certainly in the first half of this year. And so that will also then pair very well with our focus on Flex and on the buy side because there’s much higher attach rates on the buy side, and it’s more logical connection there. And so that will be the next step there. We’ll have a small warehouse line associated with that to do kind of the overnight funding on that. But that’s in progress, and we’re taking good steps there.
Brian Bair: And the one thing I’ll just add on that is back to the bundle conversation. What’s really important there is as we talk about the friction on the bundle side, but there’s also a cost savings for the homeowner on that side as well by selling us their home, using our mortgage product and finding their next home through Offerpad, whether it’s one of our homes that we have in inventory or outside of our inventory. They can save 1% to 2% depending on the situation. So there’s also a cost savings. So we’re not already not just given them the ease of the transaction, but there’s also savings to be had there as well. And customers seem to be very engaged with that. And we’re going to be spending a lot more time and resources on that in 2022.
Ben Sherlund: Great. Thank you.
Brian Bair: Thanks.
Operator: Thank you, Mr. Sherlund. We do have one follow-up from the line of Ryan Tomasello with KBW. Please go ahead.
Ryan Tomasello: Hey guys, thanks for taking a follow-up here. Mike, I appreciate the comments around the balance sheet in the prepared remarks. But maybe you can just put a finer point around the current liquidity position and your comfort with funding your growth plans for the rest of the year?
Mike Burnett: Sure, Ryan. Yes. We did a lot of work on the balance sheet last year and really did a lot of putting new additional debt capital in place as well as refinancing some existing facilities to take advantage of rate improvements and term and condition improvements. And so a lot of this was done late in the year into December. But we ended the year with about $1.7 billion of total capacity out there. We think that’s a good place for us to be. We’ve got the opportunity now with for four large institutional lenders, very good relationships that we can continue to grow with and have good access to additional debt capital there. So we’re feeling very good about the capacity on the debt capital side of things where we are at and where we can grow. On the cash side of things, we ended up with about $170 million of cash on the balance sheet at the end of the year. We think that positions us well to execute against the plan in 2022. And then we’ll see how we go as it moves forward from there.
Ryan Tomasello: Great. And then just a final one, I’ll squeeze in here. I love the color around the homebuilder partnerships, including Taylor Morrison. Maybe you can just elaborate on the benefit you are getting from those partnerships in terms of customer acquisition. And if there are any other opportunities that look interesting outside homebuilders, and I guess based on those 50 partnerships you have today on the home building side, can you say if that will be driving a material portion of your acquisition volume today? Thanks.
Brian Bair: Yes, and it is. And the builder relationships are fantastic. We talked about Taylor Morrison. They’ve been a fantastic partner. But it’s really one of those win-win wins for everyone because as a potential buyer walks into a Taylor Morrison model center. They want to buy Taylor Morrison home, but they have to sell their current home. And they have to try to time the closing out of all those things. So when they walk into a model – a builder model center, we can give them a cash offer with builders within an hour. So they know their house is sold. They can choose their closing date. We can work around the builders. So the builder can sell their current home. The homeowners have sold their current home and then we can time of the transaction. So it’s one of our highest conversion channels that we have in the company is with our builder partners. And so Mike said it’s really a triple win across the Board there. We’re exploring partnerships across the Board. And so we’re very specific of the partnerships that we engage and but builders is great. We also have the partnerships with the real estate community. We call an agent a partnership program that we partner with real estate agents that will sell us – that will bring us their home before the house hits MLS. And their customer wants a cash offer. So we have – that’s a big channel as well – agents bring it to us. As Mike said, at Offerpad, we want to be a solution center to everyone that we can. We feel – win for everyone involve. So we have different partnerships, and we’re always exploring others.
Ryan Tomasello: Thanks for taking the follow-ups.
Brian Bair: Thank you.
Operator: Thank you, Mr. Tomasello. There are no additional questions waiting at this time. The question-and-answer session has concluded. I will now turn the call over to Brian Bair, Chairman and CEO, for closing remarks.
Brian Bair: Thanks, everyone. We are incredibly excited about the future. We grew nearly 100% year-over-year with a positive adjusted EBITDA of $30 million. Customer awareness is growing and the benefits over the traditional way to buy and sell a home are tangible and meaningful. iBuying ramped in 2021, and we believe this momentum will continue. Feel free to reach out to Stefanie if you have any questions, and thanks so much for joining us today.
Operator: That concludes the Offerpad fourth quarter and full year 2021 earnings conference call. I hope you all enjoy the rest of your day. You may now disconnect your lines.